Operator: Greetings and welcome to the Take-Two Interactive Software First Quarter 2017 Fiscal Year Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.
 I would now like to turn the conference over to your host, Mr. Hank Diamond. Thank you, Mr. Diamond. You may begin. 
Henry Diamond: Good afternoon. Welcome, and thank you for joining Take-Two's conference call to discuss its results for the first quarter of fiscal year 2017 ended June 30, 2016. Today's call will be led by Strauss Zelnick, Take-Two's Chairman and Chief Executive Officer; Karl Slatoff, our President; and Lainie Goldstein, our Chief Financial Officer. We will be available to answer your questions during the Q&A session following our prepared remarks.
 Before we begin, I'd like to remind everyone that the statements made during this call that are not historical facts are considered forward-looking statements under federal securities laws. These forward-looking statements are based on the beliefs of our management, as well as on -- as well as assumptions made by and information currently available to us. We have no obligation to update these forward-looking statements.
 Actual operating results may vary significantly from these forward-looking statements based on a variety of factors. These important factors are described in our filings with the SEC, including the company's most recent Annual Report on Form 10-K and Quarterly Report on Form 10-Q, including the risks summarized in the section entitled Risk Factors.
 I'd also like to note that, unless otherwise stated, all numbers we will be discussing today are GAAP. Our press release provides a reconciliation of our GAAP to non-GAAP measurements and further explanation. And on our website, we have provided additional details regarding the non-GAAP components of our cost of goods sold and operating expenses. Our press release and filings with the SEC may be obtained from our website at www.take2games.com.
 And now, I'll turn the call over to Strauss. 
Strauss Zelnick: Thanks, Hank. Good afternoon, and thank you for joining us today. I'm pleased to report that fiscal 2017 is off to a solid start, with first quarter net revenue up 13% year-over-year. Our results were driven by the continued strong performance of Grand Theft Auto V and NBA 2K16, coupled with growth in recurrent consumer spending, including record bookings from Grand Theft Auto Online. Grand Theft Auto V and Grand Theft Auto Online once again performed significantly better than we had anticipated and continued to generate remarkable results, as they have in every quarter since their release.
 According to new data from the NPD Group, which combines physical sales and full game downloads, Grand Theft Auto V was the #2 selling game across all platforms in 2015 and is the #3 selling game of 2016 year-to-date through June.
 In addition, Grand Theft Auto Online continues to grow, with the game delivering record bookings in the first quarter. Rockstar Games has driven sustained engagement and increased recurrent consumer spending by exciting audiences with the ongoing release of a rich array of free additional content, most recently with the further adventures in Finance and Felony, Power Play and Cunning Stunts updates and has many more updates still to come. The incredible staying power of Grand Theft Auto V and Grand Theft Auto Online nearly 3 years after their original release reflects that these titles remain the standard bearers for excellence in our industry and underscores consumers' tireless passion for this iconic series.
 In another testament to the strength of Rockstar Games created portfolio, the highly demanded 2010 classic Red Dead Redemption was made available to play in Xbox One as part of Microsoft's Backwards Compatibility program on July 8. Red Dead Redemption remains one of the most critically acclaimed entertainment experiences ever launched and is Rockstar Games' highest selling title, aside from Grand Theft Auto.
 Every owner of Red Dead Redemption for Xbox 360 can now play the game directly on their Xbox One, regardless of which version of the title they own, and for those who have yet to experience it, Red Dead Redemption is also currently available for purchase through digital download from the game store on Xbox One. Rockstar Games is also hard at work on some exciting future projects that will be revealed soon.
 NBA 2K16 has continued to build on our industry-leading basketball series trend of annual growth and is now our highest selling sports game ever, with sales in over 8 million units. Revenue from NBA 2K has benefited from strong player engagement. Sales of the game's virtual currency were once again the largest contributor to bookings from recurrent consumer spending, next to Grand Theft Auto Online.
 During the first quarter, bookings from our recurrent consumer spending on NBA 2K grew more than 50% year-over-year, driven both by online play and the free-to-play MyNBA 2K companion app. We believe we can continue to expand NBA 2K's loyal fan base as well as drive increased engagement and recurrent consumer spending for years to come.
 On May 3, 2K released Battleborn, a new intellectual property from Gearbox Software, the makers of our popular Borderlands series. While the game launched to solid reviews, its performance in the market has been below our expectations. We think there remains an opportunity to grow the audience for this unique experience over time, and 2K will continue to drive engagement and recurrent consumer spending on the title through add-on content and virtual currency.
 Innovation and creativity are among our core tenets, and we fully support our team's vision to push the envelope in order to set new benchmarks for our company and our industry with the understanding that in a highly creative enterprise, not everything always turns out the way one might like. Given the strength and diversity of our company, we have the ability to take these risks and weather any unexpected shortfalls that may arise.
 During the first quarter, digitally delivered bookings exceeded our expectations. Recurrent consumer spending grew 22% year-over-year, while full game downloads declined, as expected, as last year's first quarter benefited from the launch of Grand Theft Auto V for PC. In addition to virtual currency for Grand Theft Auto Online and NBA 2K, recurrent consumer spending was enhanced by other offerings including downloadable add-on content, led by XCOM 2; Sid Meier's Civilization V and the Borderlines series; and free-to-play games including WWE's SuperCard, which has now been downloaded nearly 11 million times; and NBA 2K online in China which now has over 32 million registered users.
 Looking ahead, we're excited about our upcoming holiday lineup which features eagerly anticipated new offerings from some of our most successful franchises including Mafia III and Sid Meier's Civilization VI, as well as groundbreaking new releases from our annual sports series, NBA 2K and WWE 2K. Karl will have more to share on these titles shortly.
 In addition, we have robust development pipeline that extends well beyond the fiscal year and we expect to grow bookings and cash flow from operations in fiscal 2018.
 Today, our company is just beginning to realize its potential. From advances in technology that influence how we create, distribute and experience interactive entertainment to the expanding globalization of our audiences, there's never been a more exciting time for our industry. Take-Two is well prepared to capitalize on these positive trends, strategically, creatively and financially. As a result, we're positioned to achieve continued success and deliver returns for our shareholders over the long term.
 I'll now turn the call over to Karl. 
Karl Slatoff: Thanks, Strauss. Today, I'd like to discuss our recent releases and upcoming lineup for the holiday season. On July 7, 2K and Turtle Rock Studios launched Evolve Stage 2, a new free-to-play version of Evolve exclusively for PC through Steam. Evolve Stage 2 features a completely overhauled experience, including a new game design and mechanics as well as improved gameplay, balance and system performance.
 Players who previously purchased Evolve on Steam as well as any add-on content such as skins or characters, will be granted Founder status and all of their paid content will carry over into Evolve Stage 2. In addition, Founders will get exclusive badges and other items at launch as well as additional new content as the game is updated over time.
 Evolve Stage 2 welcomed over 1 million new players in its first week of availability and continues to attract new fans.
 On September 13, 2K will release BioShock: The Collection for PlayStation 4, Xbox One and PC. For the first time, BioShock, BioShock 2 and BioShock Infinite will be made available in 1 collection, complete with all previously released single player downloadable add-on content, all completely remastered for new generation consoles in full high resolution with up to 60 frames per second. In addition, BioShock: The Collection includes a never before seen video series Director's Commentary: Imagining BioShock, which features insights from the creator of this years, Ken Levine.
 Consumers who already purchased the PC versions of BioShock, BioShock 2 and/or Minerva's Den through Steam will be able to upgrade to the remastered versions for free. The BioShock series remains one of the most beloved franchises in gaming and great care has been taken to meticulously preserve the developer's visions for the unforgettable worlds of Rapture and Columbia.
 On September 20, 2K released NBA 2K17, which will feature Indiana Pacers All-Star shooting guard, Paul George, as the game's cover athlete, and continue the series' proud tradition of working with the NBA's most elite athletes.
 NBA 2K17 also will celebrate the legacy of Kobe Bryant by featuring the recently retired 18-time NBA All-Star on the cover of the NBA 2K17 Legend Edition. This special edition will highlight Bryant's career with themed memorabilia and exclusive digital content.
 As part of a partnership with USA Basketball, fans will be able to play as this year's USA Basketball's Men's National Team, as well as the legendary 1992 dream team, comprised of NBA Hall of Famers such as Michael Jordan, Larry Bird and Magic Johnson.
 Developed by Visual Concepts, NBA 2K17 promises to once again raise the bar for excellence in our top-selling and top-rated basketball series. Today, we are announcing that 2K now plans to release XCOM 2 for PlayStation 4 and Xbox One on September 27, in North America, and September 30, internationally.
 This short delay was necessary to ensure that the game is fully polished at launch and meets the team's high standards for their critically acclaimed PC hit. 2K and Firaxis Games are excited to broaden the audience for this beloved series and they will also continue to support the PC version of XCOM 2 with free and paid downloadable content.
 On October 7, 2K will launch Mafia III. Currently in development at 2K's Hangar 13 studio, Mafia III is the next installment in our successful organized crime series. Set in New Bordeaux, a reimagined New Orleans circa 1968, Mafia III places players in the role of gifted antihero, Lincoln Clay, a Vietnam vet determined to take revenge on the Italian mob for betraying and murdering his surrogate family.
 Mafia III will take the series in a bold new direction by combining its trademark cinematic storytelling with a dynamic open world. Mafia III had a fantastic showing at E3, earning more than 60 accolades at the show, including 12 awards and a host of top 10 recognitions. We believe Mafia III has the potential to be the breakout hit for what is already a highly successful series.
 On October 11, 2K will launch WWE 2K17 and take our popular sports entertainment series to exciting new heights. Brock Lesnar, who is best known for his unparalleled accomplishments in WWE, UFC and NCAA Division 1 wrestling will be the game's cover superstar.
 In addition, legendary WCW and WWE star, Bill Goldberg, will return to action as part of the game's preorder campaign. And WWE NXT, the global brand that creates and develops emerging WWE Superstars, will serve as a focus for this year's Collector's Edition.
 Later this month, WWE 2K17 will be part of the WWE SummerSlam weekend in New York. We are confident that Yukes and Visual Concepts will continue to innovate this series and build on its positive momentum.
 On October 21, 2K will release Sid Meier's Civilization VI, the latest offering from our award-winning, turn-based strategy series that has sold in over 35 million units worldwide. Developed by Firaxis Games, Civilization VI will mark the 25th anniversary of the series, and provide the most detailed, vivid and beautiful experience ever featured in a Civilization game.
 As players race to achieve victory in this all-new title, active research in technology and culture will unlock new potential ways to play, cities will physically expand across the map and world leaders will pursue their own agendas based on their historical character traits.
 Civilization VI also had a terrific E3, earning over 30 nominations and winning 15 awards, including Best Strategy Game honors from Game Informer and IGN, as well as Best Strategy Game and Best PC Game from the official E3 Game Critics' Awards. In addition to our frontline releases, we will continue to deliver an array of digitally delivered offerings designed to drive engagement with and recurrent consumer spending on our titles.
 Later this month, 2K will have a major presence at gamescom in Germany. Fans and the media will have the opportunity to get hands-on time with NBA 2K17, WWE 2K17, BioShock: The Collection and Civilization VI as well as experience a developer-led theater presentation of Mafia III.
 We are confident that this show will further whet consumer appetite for what we believe will be one of 2K's strongest holiday lineups. With the diverse range of genres represented, this set of holiday releases exemplifies 2K's commitment to providing uncompromising, AAA entertainment experiences.
 Looking beyond the current fiscal year, we have a robust long-term development pipeline across both of our labels, which features offerings from our renowned franchises, along with new intellectual properties that promise to further diversify our industry-leading portfolio.
 I'll now turn the call over to Lanie. 
Lainie Goldstein: Thanks, Karl, and good afternoon, everyone. We'll begin by discussing the changes to our non-GAAP financial metrics, and then turn to our fiscal first quarter results and financial outlook for the remainder of the year.
 As announced earlier this week, we are no longer reporting non-GAAP financial measures just for the net effects from net revenue and related cost of goods sold. We're making these changes to comply with the SEC's updated compliance and disclosure interpretation issued on May 17. These changes to our non-GAAP measures will have no effect on Take-Two's business, GAAP net revenue, GAAP earnings, cash flow, balance sheet or how our management and Board of Directors evaluates the company's performance.
 In order to help investors who may wish to continue to evaluate our company's performance based on the same measures that we focus on internally, we are providing the following additional metrics: the change in deferred revenue, which can be added to our GAAP net revenue to arrive at the metric that we formally reported as non-GAAP net revenue; the change in deferred cost of goods sold, which can be added to our new non-GAAP cost of goods sold to arrive at our old calculation of non-GAAP cost of goods sold; and the net effect from deferral of net revenue and related cost of goods sold, which can be added to our new non-GAAP net income to arrive at our old calculation of non-GAAP net income.
 Please note that we do not defer all cost of goods sold related to deferred revenue, including internal and external royalties, which are calculated based on the performance of our business under our old non-GAAP metrics, and will continue to be calculated that way going forward.
 In addition, we are introducing a new operational metric, bookings, which represents the total amount billed by the company from sales of physical products sold into retail and available to consumers net of allowances, plus products digitally delivered to consumers during the period. We are reporting these metrics as they are used by our management and Board of Directors to evaluate the performance of our business.
 I'll now review our first quarter results. All comparisons are year-over-year unless otherwise stated. Our press release provides a reconciliation of our GAAP to non-GAAP measurements, and we have provided additional details regarding the non-GAAP components of our cost of goods sold and operating expenses on our website. In addition, our press release provides a table showing how to bridge the new non-GAAP presentation of our first quarter 2017 and first quarter 2016 results to the old non-GAAP presentation.
 Turning to the highlights of our results. GAAP net revenue grew 13% to $311.6 million. Growth was driven primarily by the recognition of previously deferred revenues from Grand Theft Auto V and NBA 2K16. GAAP net revenue benefited from a change in deferred net revenue of $39 million versus being reduced by a change of $91.1 million last year.
 GAAP digitally delivered net revenue grew 12% to $172.1 million. GAAP digitally delivered net revenue was reduced by a change in deferred net revenue of $19.1 million versus being reduced by $100 million last year. Non-GAAP cost of goods sold was $187 million, down by $10.9 million dollar. This decline was due primarily to lower internal royalties, which are calculated based on the performance of our business under our old non-GAAP metrics.
 Non-GAAP cost of goods sold was increased by a change in deferred cost of goods sold of $24.6 million versus being reduced by a change of $0.1 million last year. Non-GAAP operating expenses were $148.5 million, up by $28.8 million, due primarily to higher marketing expense for the launches of Battleborn and our upcoming lineup. GAAP net loss narrowed to $38.6 million or $0.46 per share as compared to $67 million or $0.81 per share. Non-GAAP net loss narrowed to $17.6 million or $0.21 per share as compared to $33.2 million or $0.40 per share. And the net effect from deferral of net revenue and related cost of goods sold was a benefit to non-GAAP net income of $11.3 million versus a reduction of $67.4 million in the prior year. Our cash and short-term investments balance decreased to $1.19 billion at June 30 as compared to March 31 due primarily to our ongoing investments in game development.
 Turning to our operational metrics. Total bookings were $253.4 million as compared to $353.8 million in last year's first quarter which had benefited from the launch of Grand Theft Auto V for PC. Total bookings exceeded our expectations, driven primarily by the continued outperformance of Grand Theft Auto V and Grand Theft Auto Online. Digitally delivered bookings were $172.7 million, led by Grand Theft Auto, NBA 2K and Battleborn. Bookings from our current consumer spending grew 22% and accounted for 60% of digitally delivered bookings or 41% of total bookings.
 As calculated pursuant to our prior non-GAAP measures, our fiscal first quarter results would have included non-GAAP net revenue of $272.6 million, which is based on GAAP net revenue of $311.6 million excluding the $39 million benefit from the change in deferred net revenue and non-GAAP net loss of $28.9 million or $0.34 per share, which is based on our new presentation of non-GAAP net loss of $17.6 million, excluding the $11.3 million benefit from the net effects from deferral of net revenue and related cost of goods sold.
 These results exceeded our prior non-GAAP net revenue outlook of $225 million to $260 million and more within our prior non-GAAP net loss outlook of $0.30 to $0.40 per share.
 Now I will review the highlights of our financial outlook which conforms to our new non-GAAP metrics. Further details as well as a reconciliation of our non-GAAP financial outlook to GAAP are contained in our press release and on our website.
 Starting with the fiscal second quarter. We expect GAAP net revenue to range from $375 million to $425 million, which is benefiting from a change in deferred net revenue of approximately $8 million. We expect total non-GAAP cost of goods sold to range from $162 million to $181 million, which is being reduced by a change in deferred cost of goods sold of approximately $15 million. Total non-GAAP operating expenses are expected to range from $160 million to $175 million. This is an increase from the prior year due primarily to higher marketing expense for Mafia III and our other upcoming title releases.
 We expect non-GAAP net income to range from $39 million to $51 million or $0.35 to $0.45 per share and to benefit from a net effect from deferral of net revenue and related cost of goods sold of approximately $17 million. We expect total bookings to range from $350 million to $400 million. The largest contributors to bookings are expected to be NBA 2K17, Grand Theft Auto V and Grand Theft Auto Online, XCOM 2 and BioShock: The Collection.
 Turning to our fiscal 2017 full year outlook. We now expect GAAP net revenue to range from $1.75 billion to $1.85 billion, which is benefiting from a change in deferred net revenue of approximately $200 million. We now expect total non-GAAP cost of goods sold to range from $842 million to $868 million, which is being increased by a change in deferred cost of goods sold of approximately $45 million. Total non-GAAP operating expenses are now expected to range from $606 million to $636 million. This increase from the prior year is driven primarily by higher marketing expense for our fiscal 2017 release slate, as well as our lineup for fiscal 2018, along with higher research and development expense, increased personnel expense from a higher headcount at our development studios and increased depreciation expense.
 We now expect non-GAAP net income to range from $229 million to $258 million, or $2 to $2.25 per share, and to benefit from a net effect from deferral of net revenue and related cost of goods sold of approximately $118 million. We expect our operations to generate a modest amount of cash flow in fiscal 2017. As calculated pursuant to our prior non-GAAP measure, our fiscal 2017 outlook would have included non-GAAP net revenue of $1.55 billion to $1.65 billion, which is based on GAAP net revenue of $1.75 billion to $1.85 billion, excluding the $200 million benefit from the change in deferred net revenue, and non-GAAP net income per share of $1 to $1.25, which is based on our new presentation of non-GAAP net income of $229 million to $258 million, or $2 to $2.25 per share, excluding the $118 million benefit from the net effects from deferral of net revenue and related cost of goods sold.
 This represents an increase of approximately $50 million versus our previous non-GAAP net revenue outlook, which is a range of $1.5 billion to $1.6 billion, and is unchanged versus our previous non-GAAP net income per share outlook, which was based on our prior non-GAAP measure.
 Turning to bookings. We expect total bookings to range from $1.5 billion to $1.6 billion. Our bookings are expected to be roughly unchanged as compared with last year, driven primarily by our assumption that our new launches and expected growth from NBA 2K and WWE 2K will be offset by moderating results from Grand Theft Auto V and Grand Theft Auto Online. The largest contributors to bookings are expected to be NBA 2K17 and NBA 2K16, Grand Theft Auto V and Grand Theft Auto Online, Mafia III, WWE 2K17, Sid Meier's Civilization VI and Battleborn.
 Given our better-than-expected bookings from recurrent consumer spending in the first quarter and increased expectations for the remainder of the year, we now expect digitally delivered bookings and recurrent consumer spending bookings to be approximately flat versus last year. We expect the bookings breakdown from our label to be roughly 75% 2K and 25% Rockstar Games. We expect our geographic bookings split to be about 60% United States and 40% international.
 In closing, fiscal 2017 is off to a solid start and we expect to deliver another year of strong results. With our industry-leading creative assets, coupled with a sound financial discipline, Take-Two is well positioned to benefit from the positive secular trends in our industry and to deliver growth and margin expansion over the long term.
 Thank you, and now I'll turn the call back to Strauss. 
Strauss Zelnick: Thanks, Karl and Lainie. On behalf of our entire management team, I'd like to thank our colleagues for delivering a strong start to the fiscal year. And to our shareholders, I want to express our appreciation for your continued support. 
 We'll now take your questions. Operator? 
Operator: [Operator Instructions] Our first question comes from the line of Eric Handler of MKM Partners. 
Eric Handler: Yes, I've got 2 questions for you. First, just related to the full year guidance. Maybe, Lainie, you can help me. Did you say the old guidance of $1 to $1.20 is equal to the new guidance of $2 to $2.25? And can you help me get to reconcile that? And then secondly, with regards to Mafia III, it seems like you did get some good buys out of E3. Amazon had it as the #3 most anticipated game of games that were shown at E3. And, I'm just curious, how that -- how E3 maybe has changed or caused you to adjust maybe some of your expectations for the game? 
Lainie Goldstein: Well, Eric, let me start with the guidance for next year. So the $2 to $2.25 is based on the new non-GAAP metrics, and that's what we'll be using going forward. So that compares to $1 to $1.25 that we gave out on our last call. And the sales is up slightly, and that's driven by our Q1 results and our increased recurrent consumer spending and that's offset by some additional marketing expense in the year. 
Eric Handler: Right. But how do I -- and maybe I just got spend more time with the press release, but how do I reconcile -- how do I -- what do I need to do in my model so that the $2.25 becomes $1 to $1.20? 
Lainie Goldstein: If you take a look at the press release, you'll see where we broke out, what the deferred revenues are, the deferred cost of goods sold, and then what that impact is on the net income, and that will help you reconcile it. 
Strauss Zelnick: Okay. And Eric, if you have follow-up questions, you can give Hank or Lainie a call, we'll be happy to go through it, and that would be true for anyone else on the call as well. And this is Strauss. On Mafia III at E3, yes, we had a great show. We're really excited about it. We're really proud of the way we showed of the title. And what can I say? Something like 60 awards -- 60 accolades and 12 awards, and enormous buzz, lots of press and that's one of the things -- one of the many things that E3 is good for. So this is a title that we put a lot of investment in and in terms of development and marketing, both current and upcoming, and we have high hopes for it. So stay tuned. 
Operator: Our next question comes from the line of Ben Schachter of Macquarie. 
Benjamin Schachter: Close enough. A few questions here. One, so Lainie, if I just heard you correctly, the no upside on EPS, that's -- is that, essentially, all driven by increased marketing spend? Or is there just an increased level of conservatism, for any other reason? And then Strauss, post E3, any change to the way you're going to market with Mafia? Was there anything that you saw that made you say, "We would want to come at it in a different way?" And then, also on marketing. I noticed -- just happened to notice sort of seeing these in different ways, is the marketing for GTA Online on Facebook and Instagram and some other areas, you know, it seems to be doing a pretty good job. Do you think that marketing has been particularly successful? And do you expect to be increasing that for GTA Online and possibly for other future additional add-on content? 
Lainie Goldstein: Let me address first on the guidance for fiscal year '17. So we did keep the bottom line the same, as we said, and the revenue is higher, and that is being offset by the marketing expenses. In terms of conservatism, it's still pretty early in the year. We have several titles still to be released, including Mafia III, NBA, WWE and Civilization VI. So it's still early in the year, we're pleased with the first quarter and we'll have to see how the rest of the year pans out for us. 
Strauss Zelnick: Yes, and then, Ben, in terms of Mafia III coming out of the show, I think we were highly optimistic going into the show, and if anything more so after the show. We already have a very significant marketing budget against the title, as we do for all of our AAA releases, but we do try to structure our marketing budgets flexibly so as we learn more, we can adjust them. But I think it's safe to say that we're really stepping up and getting behind this title because we really believe in it. To your point on GTA Online and other releases, you know I -- you're obviously very expert in these matters and you and I have talked about them. But we are -- we, like our competitors, are trying hard to be expert in reaching the consumer wherever the consumer is, and social media is a great way to do that, but you do have to be a very expert in the area. And I think we are increasing that expertise of the company broadly, and in both of our labels, and you're seeing that in our results. So what drives the results of any given title, GTA Online included, is how it speaks to consumers and it's the creativity in the title and the extraordinary experience of that game, and that experience that has drive record results in the quarter. I know we said we expected results to moderate and they haven't, we had record results again. And certainly marketing plays a role in that. But at the end of the day, of course, the product itself it is what speaks to the consumer and the marketing is getting that message out. It's our job to do A+ work with both. And I think around here, we always feel like we can do more. But yes, I think we have made some progress in social media marketing. 
Operator: Our next question comes from the line of Tim O'Shea of Jefferies. 
Timothy O'Shea: So obviously, you guys have had a lot of success developing new franchises over the past few years. But more recently, it seems like new IP, like Battleborn is seeing greater challenges at launch. So the question is, now you have 9 or 10 large franchises, does it start to make sense to prioritize investment towards that existing IP instead of trying to launch new franchises? I do appreciate Strauss' comments about the importance of creativity and maybe not how everything works out, but I'm just curious how you think about this, and whether your thinking has evolved over time? 
Strauss Zelnick: Tim, it's a fair question. And I think one has to be careful with the success we've had because we've launched at least 1 new hit IP every year -- nearly every year since 2007, not every year but nearly every year. And obviously, that's why we have titles like Red Dead and titles like Borderlands and BioShock and more recently why we were able to add WWE to the mix, Shaun, because of that willingness, that openness and frankly, our risk profile. And we are capitalizing now to take on that risk. So tempting as it maybe to rest on our laurels, and we do have 11 franchises that have each sold over 5 million units in individual release. There's something like 60, that have sold, I think, 2 million units at least -- 60 releases that have sold at least 2 million units. It's tempting to do that. But of course, at the end of the day, you run the risk that they -- that the enterprise doesn't grow in that circumstance. So while one would -- one definitely has a reduced risk profile when you put out a sequel versus new IP, I think it's both our obligation and our opportunity to do both. How we do that is an open question. And there are opportunities to moderate risk, and so doing. And also, the world allows you now -- the world of interactive entertainment allows you now to have more than 1 bite of the apple. So with regard to Battleborn, we're being very frank about where we are because we're a transparent company. We're still delivering new content to Battleborn. Audiences love Battleborn. We still have virtual currency coming from Battleborn. We are not counting it out for a minute. We're just telling you where we're at now. And equally, we just launched Evolve Stage 2, which is another way to express the IP of Evolve. And we've had over 1 million people sign up to play Evolve Stage 2, and that's super exciting. So the world has changed. It's unforgiving in that we invest a lot of money in new IP. It's much more forgiving in that we can have consumers be part of our release, we can iterate with them, we can come back and play another day. And if your watchword is quality, they're great opportunities. Say what you will, the consumer's actually really have said great things about Battleborn, as have the critics. So we're still encouraged by our approach to bringing back beloved sequels while creating new intellectual property. And we do have to be careful, of course, to balance our investment and our risk with the opportunity. And that's -- there's a little bit of a science in there, a little bit of art in there, but that's one of the things we do every day. 
Operator: Our next question comes from the line of Ryan Goodman of Bank of America. 
Ryan Goodman: I had one on the new bookings metric. So if I look at the quarter, the bookings were down quite a bit year-over-year just because of the GTA V comp, which makes sense. So I guess, 2 questions, if the annual outlook implies flattish, I believe, was in the comments. What does the September outlook for $350 million to $400 million imply on a year-over-year basis? And how should we expect the year-over-year trend to change over the course of the year? What are the key drivers there? 
Lainie Goldstein: Can you repeat that question? I'm not sure I'm understanding. 
Ryan Goodman: Sure. I'm just looking -- I want to make sure I'm understanding the metrics right. But I see like bookings for this quarter were $253 million, and I believe that was down 25% to 30% year-over-year because of the GTA 5 comps. And I thought in the prepared comments that the $1.5 billion to $1.6 billion was flattish year-over-year. So I'm just trying to understand, how we get from down 30% to there. What happens between here and there over the next few quarters? 
Lainie Goldstein: So yes, it is flattish from this year to last year. And it's driven by our release schedule that we have coming up for the rest of the year. We have Mafia III coming out, NBA, WWE, we have Civilization VI and some other titles. So it's being -- we have a very heavily weighted fall season. And that should -- that would make up the difference for the year. 
Ryan Goodman: Okay, I guess, just for a historical perspective for next quarter, the $350 million to $400 million, if you hit the midpoint of that, can you share what the year-over-year comp would be? 
Lainie Goldstein: I don't have that in front of me, but if you follow up with us after the call, we could get back to you. 
Operator: Our next question comes from the line of San Dan of Mizuho. 
San Phan: This is San in for Neil. I was just curious to see if you expect to see an impact to the recurring digital spend in the quarter from the Olympics? And you know there's a gap before NBA 2K17 comes out, but do you expect any impact to that launch as well? 
Strauss Zelnick: Honestly, if the political season hasn't taken away activity, I certainly don't think the Olympics will. Consumers really love what we have to offer. And when consumers love entertainment, they consume a lot of it. It does not appear to be substitutable. So, no. Exciting as the Olympics may be, I don't think it will affect us even in the smallest way. 
Operator: There are no further questions at this time during the audio portion of the conference. I would like to turn the conference back over to management for closing remarks. 
Strauss Zelnick: We would just like to thank everyone for joining us today. We had a good solid quarter, a great start for the year. We've revised our revenue outlook up. We're highly optimistic about what will be one of our strongest fall and holiday release schedules ever. And we want to thank all of our shareholders, for their continued support. 
Operator: This concludes today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful rest of your day.